Operator: Good afternoon, and welcome to the Second Quarter 2021 Earnings Conference Call for Conformis, Inc. My name is Sarah and I will be your conference operator today. All lines have been placed on mute to prevent background noise. After management’s remarks, there will be a question-and-answer session. Before we begin, I would like to remind you that this call will include forward-looking statements within the meaning of Federal Security Law, which are made pursuant to the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Any statement made during the call that are not statements of historical facts should be considered forward-looking statements. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated or implied by these forward-looking statements, including those discussed in the Risk Factors section of Conformis' public filings with the U.S. Securities and Exchange Commission. You should not place undo reliance on the forward-looking statements. Conformis disclaims any obligation, except as required by law, to update or revise any financial projections or forward-looking statements whether because of new information, further events or otherwise. This conference call will include time-sensitive information and is accurate as of the last broadcast, today, August 4, 2021. I will now turn the call over to Mark Augusti, President and Chief Executive Officer of Conformis.
Mark Augusti: Thank you, And welcome to our second quarter earnings call. With me today is our CFO, Bob Howe. We appreciate you joining us for an update on Conformis. The second quarter was solid for us on nearly every level. We closed the GAAP getting back to 2019 levels of performance, and we made significant progress on the development of our key new products. From a macro perspective, we are seeing similar trends on procedure levels and customer behaviors as other medical device players, especially when compared to companies with a less diversified product portfolio. Like all companies, we are carefully monitoring COVID trends and vaccination rates, trying to assess how they will play out over the coming quarters. The environment for the orthopedic surgical procedures continues to improve. But it's not without challenges. Like you we take it in the news every day. And there are several complicating factors such as several areas of the world experiencing spikes in COVID-19 cases. The rise of the Delta variants, nursing and critical support staff shortages, medical facilities reconsidering how to handle elective procedures and changing mass guidelines. So although the environment has not yet stabilized, we remain encouraged that the arthroplasty market is showing some level of resilience as it tracks back towards pre-COVID levels. The current thinking is that we will attain a normalized medical procedure environment both in the U.S. and internationally by the end of this year or early ‘22 at the latest. This timing works well from our perspective because we have a number of growth initiatives that we expect to be well in the ramp right at the time the broader market is nearing full recovery. To that end, we remain cautiously optimistic that we're on track to get back to our pre-COVID operating levels by the fourth quarter. I like now to provide you with an update on each element of our current growth strategy. Number one is to go according the business. Improved procedural levels with the main driver for our revenue performance in the quarter. Importantly, we saw sequential improvement in our core products, which is a great indicator for our expanded product portfolio. We believe this will become even more pronounced in the relative near-term as we add our imprint offering to our product portfolio. Although a smaller part of our business, we are moving forward with efforts to strengthen our presence in key international markets. The latest example of his is our recent announcement about our plans to expand Conformis’s footprint into China. We're doing this through an exclusive distribution relationship, which will initially focus on the International Medical Tourism zone in Hainan province. While it will take until the end of 2021 or early ‘22 before the first cases are performed. We're excited about the commercial potential of this relationship. Number two is to grow our hip business. During the second quarter, we generated $900,000 of hip revenue, which was 62% growth over the second quarter of 2020. We're seeing continued interest in our Cordera Match Hip System from current and new surgeons. The new system is designed to allow surgeons the flexibility to use either anterior or posterior surgical approach and given the demand for reduced sterilization costs. Our surgery-in-box model gaining traction in both hospital and ASCs. We have more work to do as we build out our hip portfolio and our software capability. But we're committed to expand our hip franchise. Number three is to continue to drive R&D efforts to launch new and differentiated products. Although we have many projects in the pipeline, three are expected to be particularly impactful to our overall growth. First is the Identity Imprint project. We received regulatory clearance in May and has been busy preparing our commercial team and training the surgeons that will participate in our limited market release. We're excited about a Identity Imprint potential because it integrates the best of personalized knee design with the convenience and flexibility of an off-the-shelf system. We're very pleased with the end product both in terms of attractive to customers and patients and in the entire margin profile. A target market for this system is of course the ASC and outpatient segment. Based on discussion today customers recognized the delivery model efficiencies, product features and sterilization savings. We expect the first thing for procedures to be completed later this quarter. None of your important R&D projects is our cementless knee. While we continue to make progress we are currently reevaluating if we should focus on applying the cementless technology. First Identity Imprint given the increasing interest we are hearing from customers regarding this product. And then third is estimated introducing additional hips then that will complement our hip portfolio. As we've mentioned in the past we continue to be on track to add an additional [stem] to our portfolio by mid-2022. A final case of strategic pillars [indiscernible] protected monetize their intellectual property. We have strong quarter on this front. Early in the quarter we announced the non-exclusive license for a subset of our patents to Paragon 28. So they can use our patient's specific instrumentation IP with their new set of ankle replacements. We will receive $1.5 million from Paragon 20. More recently resolved the open litigation we have previously filed against Wright Medical and Tornier by entering into a favorable settle agreement with those companies protected monetize Stryker, which acquired them in November of 2020. Well, actually we had a lot of positive activity during the quarter on our patients specific instrumentation project for Stryker Triathlon Total Knee Replacement System. In late April received 510-K clear, which triggered the final milestone payments $11 million. The limited market release began shortly thereafter. And the first procedures using our patient specific instrumentation were Stryker Triathlon knee implant recently performed successfully. Although material product revenue ramp is not expected until 2022. We have the necessary manufacturing plants in place to support the sales ramp as ASC customers accelerate their adoption of this solution. We feel good about our strategy and the steady progress we continue to make. Let me now turn the call over to Bob for more detailed financial review of the quarter. Bob.
Bob Howe: Thank you, Mark. And good afternoon, everyone. I'll start with some details on a few non-recurring items in the quarter. We recognize $41 million of royalty and license revenue in the second quarter, almost all of which was one-time in nature. This included the final milestone payment for the development of patient specific instrumentation for Stryker, the resolution of the right medical litigation in our agreement with Paragon 28 as Mark outlined. While this royalty and licensing revenue is non-recurring, it clearly demonstrates the strength of our IP portfolio. Specific to the Stryker PSI licensing development agreement. We recognized $25 million of license revenue in the second quarter, which was triggered when we received FDA clearance in May. As Mark mentioned, we are now in the limited market release stage with Stryker. As a reminder, we do not expect material revenue ramp until 2022. We had $2.5 million of other income which related to the Stryker development agreement. This other income represents the difference between our direct R&D expense incurred to-date and the contractual amount in the development agreement. Lastly, during the quarter, our PPP loan was officially forgiven. We had borrowed $4.7 million back in March 2020 and used the proceeds to maintain staffing during the pandemic which allowed us to keep R&D and business operations moving forward. You will see the impact of the loan being forgiven and other income on our income statement. With that, I will now move to a review of our financial highlights. We reported second quarter revenue of $56.3 million, which included the royalty and license revenue I just mentioned. This makes comparisons the prior year or the 2019 tough to the one-time nature of the royalty and license revenue. To be clear, our royalty and license efforts are a valuable component of our company. But these large settlements are non-recurring. The baseline recurring royalty and license activity is expected to be between 150,000 to 200,000 per quarter. Our focus and how we determine our long-term success is on product revenue performance. Second quarter product revenue was $15.2 million representing growth of 56% year-over-year on a reported basis and 54% on a constant currency basis. The exceptional strong growth rates over 2020 were expected since the second quarter of 2020. When the quarter most severely impacted by COVID. As 2020 comparisons are less meaningful, we're more focused on how we're doing against 2019. Importantly, we saw sequential improvement from the first quarter growth rates when compared to 2019. We were down 33% to 2019 in the first quarter, and we were down 21% in the second quarter. We believe this trend will continue as reflected in the guidance I will discuss shortly. Sales of our knee products were $14.3 million, representing a decrease of 24% versus 2019 on a reported basis. Sales of our Conformis hip system were approximately 900,000, an increase of 82% versus the second quarter of 2019. As a reminder, our hip franchise is fairly new, and it's still in the early stages of growth. U.S. product revenue was $13.4 million representing a decrease of 22% from 2019, which was also an improvement from the first quarter decline. Rest of world product revenue was $1.8 million, a decrease of 17% from 2019. But again, improvement from the first quarter. Our second quarter product gross margin was 42% of revenue, which was down 210 basis points in the first quarter. This was driven primarily by higher scrap equipment repairs, manufacturing variances and a decline in product sales price. Near-term we expect our gross margin rates to be in the mid 40s, growing over time as we ramp up implant knee sales. Total operating expenses for the quarter were $16.6 million, which reflects the modest investments we are making in sales and marketing and R&D. It also reflects high G&A related to investment and professional fees we're making to protect our IP. We now have a well-established approach to protecting our IP and we remain confident of favorable outcomes in pending and future cases. Our expectations for operating expenses for 2021 year remain unchanged from what we communicated last quarter. We anticipate sales and marketing expenses to be between $26 million and $27 million for fiscal year 2021. R&D to be between $16 million and $17 million, and G&A to be between $28 million and $29 million. Moving to our bottom line performance, we generated net income of $38.0 million in the quarter, or $0.21 per share. The net income was driven by non-recurring items I listed at the beginning of my remarks, namely the $41 million of royalty in license revenue, $4.8 million of other income from the PPP loan forgiveness and $2.5 million of other income related to R&D and the Stryker development agreement. The net income in the second quarter included foreign currency exchange income of $500,000 compared to foreign currency exchange income of $700,000 in the same period last year. Our balance sheet remained strong as we had cash and cash equivalents of $108.3 million, which was slightly higher than the $104.6 million as of March 31, 2021 and significantly higher than the $28.7 million as of the beginning of the year. Lastly, I would like to provide some thoughts on our outlook. Our practice of providing full year guidance remain suspended due to the level of unpredictability caused by COVID. However, as we've done for the past several quarters, we're giving next quarter guidance with some thoughts on the rest of the year. Based on our performance to July, and our forecast for August and September, we expect our total product revenue to be between $15.5 million to $16.5 million, which is the midpoint is another strong move to further close the gap as compared to 2019. Another important note is that this guidance assumes sequential growth in product revenue when historically revenue goes down in the third quarter. In addition, as we exited the second quarter and through the month of July, activity levels in our weekly CT scans have kept us cautious with optimistic. But we are clearly not back to where we were in 2019. And we do not expect to be until the fourth quarter of 2021 or the first quarter of 2022. We believe that office visits and elective procedures will continue to improve throughout the second half of this year, assuming of course, there are no unanticipated complications with vaccinations or any setback from the rise of COVID cases due to the latest Delta variant, which appears to be the variant with the most disruption potential today. Our goal for the fourth quarter remains the same. We'd like to see product revenue get back to what we generate in the fourth quarter of 2019. As a reminder, we typically experience a sequential bump in revenue in the fourth quarter as individuals’ complete procedures prior to the annual medical plan deductibles we setting on January 1, while the sequential increase was fairly modest in the fourth quarter of 2020, due to COVID. Our expectations for fourth quarter revenue of 2021 back us in a more normal sequential lift from the third quarter. With that, I'll turn the call back over to Mark.
Mark Augusti: Thank you, Bob. Hope you can see our confidence in the business. The elements of our growth strategy are all coming together as our core business recovers along with the demand for arthroplasty procedures in general. The first few procedures using our PSI technology with in conjunction with the Stryker Triathlon knee were performed and reportedly went very well. The limited marker relief for imprint will kick off soon with the first procedures to occur later this month. And we continue to successfully protect your IP as we reported today. Our entire company is feeling energized by this steady progress. We have a great culture here in Conformis with many talented and dedicated individuals. Sometimes we were so focused on what needs to be improved or what needs to get done next, lose sight of the bigger picture. I want to make sure we take time to acknowledge and celebrate successes along the way. And with that I would like to very briefly shine a spotlight on our second quarter revenue results. The $56.3 million we delivered was the highest quarterly revenue number in the company's history. Yes, a big chunk of that is non-recurring, as Bob pointed out, however it happened and it was the result of a lot of hard work and strategic execution, which is an important consideration a distinction. We've shown on multiple fronts that we have the ability to monetize our IP. In this quarter was our best result today in demonstrating just that. I'd like to thank all the people of Conformis that made that a reality. In closing, I would like to thank everyone associated with Conformis, especially our employees worldwide and our physician customers, our non-physician partners and our investors. Together, we are helping to make people's lives better, and which in turn makes our company more valuable, and create a great place to work. Because we take great satisfaction in what we're doing. And we don't take that for granted. So with that Bob and I are happy to take your questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Josh Jennings with Cowen.
Unidentified Analyst: Hi, this is Eric on for Josh, thanks for taking the question. I appreciate the color you shed around expectations for 3Q. I'm wondering if you could help us understand what level of seasonality you've baked into your guidance range here. I understand that 3Q for most companies in a normal year is going to see some level of seasonality. But do you think that impact could be a little more pronounced this year as we start to emerge from the pandemic?
Mark Augusti: Yes, well, it's a good question. Hello, Eric. And you're saying seasonality there and we do see seasonality in Q3. And usually it's a seasonal decline from Q2. And then we get the step up in Q4, as Bob pointed out in his remarks. So we have factored that in, we will say just like commentary, I've heard from other companies, we're sort of unsure how it's going to play out this year, we actually have indicated we expect to be able to show sequential improvement from Q2 to Q3, which is sort of against the seasonal trends. And I think that's because we're seeing a recovery in procedures. But I am worried about all the other things that I've mentioned, there's whatever happens with vaccination rates and COVID. But also we're seeing sort of different behavior from doctors, it's sort of like their -- I think there's a little bit of burnout, there's a little bit of -- I'm taking my full vacation and stuff so. I think they're starting to see some of that. So all in all, it was a challenge for us to sort of think where we're going but we actually think we're going to show sequential improvement. So we're bullish on that. And that should set us up hopefully, what I'm more concerned about is actually the Q4 seasonality and that's usually a pretty nice step up. And the question for us there is, will we be able to see that in the book of business as we go forward in ‘21 and we're assuming it will be there, but it's the rest. Okay.
Unidentified Analyst: That's helpful. Thank you. And then Mark earlier this year, you made some comments around orthopedic robotics, and how Conformis strong cast position at the time, would allow you to evaluate how robotics may complement the portfolio. I was wondering if we could just hear an update on your evaluation process there. And if that could amount to anything in the near-term? Thank you for the question.
Mark Augusti: Well, I don't think we have anything material to update other than we continue to look at all technologies that we think could benefit us and robotics or -- I put in the same category as interoperative -- guidance interoperative tracking is certainly in that category. And one of the things we continue to look at. So yes, I mean, I stand by my comments, as we're looking at it. We think that our view here is that the solutions that are out there today, obviously have some level of commercial success. But I don't know that long-term, they're sustainable, I think it's the trend moves towards ASC, which is where we've indicated we're going with our Imprint product, we then want to think about what follows within Imprint and how we can burnish that technology and really bring something to that site of care. So that's sort of where we're focused. And when we have something material to disclose. We'll do that. In the meantime, I think well, and you saw in the comments will disclose sort of what we're doing from R&D from spend’s standpoint, and we'll make sure we set expectations correctly there. Okay.
Unidentified Analyst: Understood. Thank you.
Operator: [Operator Instructions] Our next question comes from Steven Lichtman with Oppenheimer.
Unidentified Analyst: Hi, guys, this is Amir on for Steve for you.
Mark Augusti: Hi, Amir.
Unidentified Analyst: I just got a quick question, two question. So overall, it seems most companies are talking about a recovery trend in the back half. Anything you guys are seeing the recovery front as it relates to volume trends during the quarter or any commentary on backlog?
Mark Augusti: Yes, know, look, I guess I -- thanks for the question, Amir, I guess I'll thing as I sort of indicated, because I felt like there was a little bit of a rush to suggest that, U.S. knees would be back in Q2, and I said, I might be wrong, but I don't think we're going to quite get there. And my reading of the reports is most companies didn't get back to ‘19 in Q2. And you're right, that people are talking about back half this thing of back half trend, which I don't know how to think about that. Does that mean, they won't be there in Q3, but they'll be there in Q4 or vice versa. And so they're looking at that. I -- we basically, correct me if I'm wrong, Bob we're basically reiterating what we said before that we think it's the back half recovery with the idea that might have been a chance to keep you out, I think we're going to quite get there in Q3 because we're -- believe, a comfortable optimistic that we'll get there in Q4. The recovery is still not full in the market. I mean, the patient demand just, isn't there where it was pre 2019, the activity is just not there. I think it'll get there and come there. But for us, it's a ‘22 story, we'll recover throughout ‘21 as the market recovers, we'll continue to be there for the demand that's there. And then when we get traction for new products, we'll start changing our portfolio mix and drive things that way. But I just leave it at that. That's sort of our view of the marketplace.
Unidentified Analyst: Right. Great. Thanks. And then just very quickly on, how -- I know you guys provided guidance on the revenue side. But how should we sort of think about gross margin in the back half of the year? Any color you got to provide on that front?
Bob Howe: Yes, I'll take that. We did. I mentioned it in the call that we're targeting at mid 40s which is an improvement, but we just put up in a little bit north of what we had in Q1 and again, the real story kind of market on revenue growth, it's the margin expansion as well and ‘22 as our Imprint knee becomes more and more of our product mix. That's the product that'll definitely help move the needle.
Unidentified Analyst: Okay, got it. Thank you, Bob. And then I guess one last quick one, are -- we saw a strong growth and momentum on the hip side? I guess, can you just briefly sort of talk a little bit more about what you are seeing on the ground and what’s driving demand?
Mark Augusti: Well look for -- a little bit of this, it's all new growth for us. So that's a good story. Our hip, it's been frustrating because we think we have a good plan. But COVID has really thrown us off in the ability to train dogs and have dogs travel and whatnot. So we've been fighting is that so as I've indicated before, we're liking sort of the numbers that we're putting up, but they're certainly not on where we'd like to be. Because, prior to COVID, we would have expected, frankly, more bullish numbers. So having said that, I still think we'll be able to deliver some pretty good comparable growth on hip, but we still see in a challenge to get training. We'd like to have more people training and we are we're working on that. But the key for us is building out that portfolio. As I said in my remarks. So we're actively working on additional stems, additional software enhancements, and whatnot, that will continue to provide a tailwind to that product segment, we're committed to hip. So we should see growth in that they'll probably be some quarters that are better than others. But yes, it's been a nice source of growth for us, Amir, and as you just recognize them in the last few quarters, and it's going to be part of our product portfolio going forward.
Unidentified Analyst: Great. Thank you so much, guys. There showing no further questions in queue at this time. Ladies and gentlemen…
Mark Augusti: Thank you operator, I just say to some of the other investors on the call, we know that a couple of analysts had conflicts because of the number of other calls. One of them actually has illness. So I don't see any other questions. So I think it's okay to end it now. That's okay. Okay.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.